Operator: Greetings, and welcome to the Caesarstone Fourth Quarter 2019 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder this conference is being recorded.  I would now like to turn the conference over to your host, Mr. Brad Cray with ICR. Thank you. You may begin.
Brad Cray: Thank you, operator. And good morning to everyone. I am joined by Yuval Dagim, Caesarstone’s Chief Executive Officer and Ophir Yakovian, Caesarstone's Chief Financial Officer. Certain statements in today's conference call and responses to various questions may constitute forward-looking statements. We caution you that such statements reflect only the Company's current expectations and that actual events or results may differ materially. For more information, please refer to the risk factors contained in the Company's most recent Annual Report on Form 20-F and subsequent filings with the Securities and Exchange Commission.  In addition, on this call, the Company will make reference to certain non-GAAP financial measures, including adjusted net income, adjusted net income per share, adjusted gross profit and adjusted EBITDA. The reconciliation of these non-GAAP measures to the most directly comparable GAAP measures can be found in the Company's fourth quarter 2019 earnings release, which is posted on the Company's Investor Relations website. Thank you. And I would now like to turn the call over to Yuval. Please go ahead.
Yuval Dagim: Thank you, Brad and good morning everyone. During 2019, we built stronger foundations through our Global Growth Acceleration Plan, which we began executing during the second quarter and I am very pleased with the progress we’ve made so far. The plan has already positively impacted our business by allowing us to better execute our plans, and deploy resources in areas of production, supply chain, technology, sales and marketing.  The projects we initiated under the Global Growth Acceleration Plan will continue to contribute and improve our performance over the long-term. As we look forward, 2020 is off to an encouraging start. We have reached an important milestone in our strategy to enter the U.S. big box channel. We recently introduced Caesarstone branded products at all U.S. Home Depot stores adding to the ongoing strong momentum in this region.  In addition, we are reinvigorating our product portfolio. We have recently introduced our new durable outdoor luxury product line, which marks an exciting evolution of our quartz applications in a relatively underpenetrated market segments. This groundbreaking outdoor collection recently won the most innovative product award at KBIS 2020.  More broadly, we are on a pace to launch several exciting and new models in 2020 that are intended to boost growth initiatives in our global markets. Our company’s focus is on the U.S. where we see the greatest opportunity for growth. We are investing a lot of resources to make sure we realize this opportunity.  In the U.S., we’ve continued the expansion of our sales force and I am very happy with the progress we’ve made. In addition, we have increased our marketing budgets to better support our brands, which is a valuable assets we want to leverage. Improving the level of service to our customers is one of the key growth drivers for Caesarstone in the U.S. markets. As part of the Global Growth Acceleration Plan, we are investing in redeploying our logistic distribution network in the U.S. in order to improve service and reduce costs. We are also improving our planning and focusing for implementing new technology and processes.  During the second half of 2018, through the first half of 2019, we reduced our production capacity utilization. The purpose of this move was to balance our inventory and improve our cash flow generation. During 2019, we significantly reduced our inventories and generated solid cash flow from operating activities.  Given our plans for 2020, in response to expected demand and to improve service to our customers, we plan to return to full production in all our factories by the second quarter. The exciting initiatives and projects we have planned for 2020 under the Global Growth Acceleration Plan gives us confidence in our ability to accomplish our objectives of this year.  We remain committed to strengthening our operating infrastructure, optimizing our product portfolio and positioning our business for improved results in the years to come.  With that, let me turn the call over to Ophir, who will provide details on our results and outlook. 
Ophir Yakovian: Thank you, Yuval, and good morning everyone. I will start by discussing our fourth quarter results. For the fourth quarter 2019, global revenue was $133.9 million, compared to $142.9 million in the fourth quarter of last year.  On a constant currency basis, revenue declined by 5.5%, compared to last year. Continued sales improvement in our core business in the U.S. and the UK was more than offset by softer performance mainly in Australia, Canada, and IKEA U.S.  In addition, necessary enhancements to our supply chain was an estimated $3 million to $4 million worth of revenue mix in the fourth quarter. We expect an estimated impact of $2 million to $3 million from these delays in the first quarter and expect to have, as the situation fully resolved during the first half of 2020.  As mentioned, we plan to return to full production in all our factories by the second quarter, which combined with the implementation of improvements in our inventory planning processes are expected to resolve supply chain issues.  In the United States, fourth quarter sales increased by 7%, compared to the fourth quarter of 2018 including core business growth of 9% year-over-year. We are pleased to mark this as the sixth consecutive quarter of revenue growth in our core U.S. business driven by the new leadership in our North America region.  As mentioned, on our last several earning calls, intense competition from Chinese manufacturers at low price points continued to pressure our global footprint outside the U.S. In Australia, constant currency sales were down 18.2%. The main reasons for the decline were the factors I just discussed, coupled with persisting soft housing and remodeling market conditions, along with challenging lending environments.  In addition, we had a large customer in Australia that went out of business during the quarter impacting revenue by $1 million. This event had no material impact on adjusted EBITDA during the quarter due to our existing insurance coverage and we expect no material impacts to our business moving forward.  In Canada, constant currency sales were down 13.6%. Our performance was affected by soft housing and remodeling markets combined with more intense, low price competition. In Europe, constant currency sales grew 2.1% primarily reflecting solid performance in the UK, partially offset by decline in our indirect markets.  Sales in Israel, on a constant currency basis were down 14%, mainly due to lower number of selling days compared to the prior year quarter due to the timing of the Jewish holidays. Revenue in the rest of the world continued to experience unfavorable impacts related to the low price competition discussed earlier and on a constant currency basis was down 24.7%. Looking at the fourth quarter P&L performance, adjusted gross margin was 26.4%, compared to 27.5% in the prior year quarter. The decline in adjusted gross margin mainly reflects an increased manufacturing unit cost due to lower fixed cost absorption from a reduction in capacity utilization in our Richmond Hill facility, as well as lower average selling prices and foreign exchange headwinds, partially offset by lower raw material costs and more favorable regional mix. Excluding legal settlement and loss contingencies, operating expenses for the fourth quarter remains stable at 20.4%, compared to the prior year quarter.  Now, looking at our full year financial performance highlights. The sales for the full year were down 5.2% on a constant currency basis, sales were off 3%. Adjusted gross margin was 27.3%, compared to 28.8% last year.  The lower adjusted gross margin mainly reflects increased manufacturing unit costs due to lower fixed cost absorption resulting from lower capacity utilization in our facilities, in addition to lower average selling prices and adverse currency exchange impacts, partially offset by improved regional mix and supply chain efficiencies. Operating expenses excluding legal settlements and loss contingencies improved 70 basis points to 20.4% of revenue, compared to 21.1% in the prior year, primarily benefiting from lower marketing and sales expenses, as well as lower general and administrative expenses. Our adjusted EBITDA was $69 million, a 12.6% margin, down from $75.2 million last year, a 13.1% margin with the difference primarily attributable to lower gross margin, partially offset by lower operating expenses. Adjusted diluted earnings per share was $0.77, compared to $1.05 in the prior year.  Turning to our balance sheet and cash flow. During 2019, CapEx totaled $24 million for the year representing 4.3% of revenue, compared to 3.6% of revenue in the prior year. We expect to increase our CapEx in 2020, primarily driven by initiatives related to our Global Growth Acceleration Plan and investment in our production lines.  We ended 2019 with a strong balance sheet including cash, cash equivalents and short-term bank deposits of $139.4 million. We were pleased to generate strong cash flow from operations of $83 million for 2019, compared to $14.7 million generated in 2018.  Moving to our outlook. For the full year 2020, we are introducing our outlook for revenue to be in the range of $550 million to $570 million and adjusted EBITDA to be in the range of $69 million to $75 million. This outlook assumes slight improvement in gross margin for the full year 2020, compared to the full year 2019.  We plan to ramp up production through the first half of the year while we make certain investments to our lines throughout the year. Our outlook also factors in our expectation for strong macroeconomic conditions in the U.S., offset by softer global market condition and a persisting competitive environment in many of our regions in 2020.  To formulate our outlook, we have used current foreign exchange rates, raw material prices and the cost impacts associated with investments related to our Global Growth Acceleration Plan.  I will also mention that most of our OEM suppliers that provide part of our entry-level products are based in China. At this point, we have not seen a material change to our OEM supply chain from the coronavirus and have not factored any impacts into our outlook. We expect our first quarter to be the most challenging period with improvement occurring throughout the year.  Overall, we look forward to continue making necessary improvements to our operations and remain focused on executing of our strategic initiatives in 2020. These focused efforts, supported by a strong balance sheet will help to improve our business and competitive positioning as we look to capture share and increase our profitability over the long-term.  Now, I would like to turn the call back to Yuval for closing remarks. 
Yuval Dagim: Thank you, Ophir. We are pleased with the structural enhancements during the past twelve months, which set the stage for 2020 to be a significant year of transformation for Caesarstone. This includes the realization of marked improvements in execution through the Global Growth Acceleration Plan, alongside continued investments in talents, brands, operations and distribution.  We see upside potential in our innovations with the launch of our new luxury outdoor product line, the introduction of our branded products in Home Depot and other planned color launches. In addition, our consistently strong cash position provides us with a unique market advantage to evaluate investment opportunities that will strengthening Caesarstone’s global competitive position in the premium countertop markets.  We are prepared to invest further in exciting initiatives that will shape the trajectory of our company in coming years. We look forward to 2020 as a transformative year and are confident in the objectives we have set out to accomplish. I look forward to updating you further on our progress next quarter.  Thank you. And we are now ready to open the call for questions. 
Operator: [Operator Instructions] Our first question comes from the line of John Baugh with Stifel. Please proceed with your question. 
John Baugh : Thank you. Good afternoon. I wonder, let’s say, let’s start with - you mentioned in the U.S., you are expanding your sales force and you have an increased marketing budget. Could you, I don’t know, maybe walk us back to 2017 or 2018 and walk us forward through 2020 what the sales force number has been and then also maybe do the same for the marketing budget?
Yuval Dagim: Hi, John. Thank you very much. I think it’s quite obvious that in some of the markets in the U.S., we haven’t covered them properly with the amount of sales team on the ground. We closed 2018 with something like 86 sales guys – sales reps and we finished 2019 with 114. The aim for this year is actually to raise this number to 130 sales reps in covering our markets – different markets in the U.S.  As for the marketing budgets, we took the opportunity in 2019 to have a realignment on our spend against what we think should be the actions of brand building in the U.S. - building Caesarstone brand. And now in 2020, we are allowing ourselves to reinvest back in the brands and to strengthen it going forward. 
John Baugh : So, I mean, in numbers, marketing spend in the U.S. was maybe down in 2019 versus 2018, but it will be up in 2020 versus 2019, is that fair?
Yuval Dagim: Yes. That’s exactly the case. 
John Baugh : Okay. And then, maybe, I know you’ve never broken out IKEA U.S.. But it’s been declining for quite some time. I guess, the simple question is, is it sufficiently small that even it declines a lot, we can stop talking about it going forward or just give me sort of an update on the relative size or importance of that account and maybe a little color on what’s going on there?
Yuval Dagim: Yes. So, it’s less than 10% obviously, because we are not reporting it in our financial filing as - by name. I can say that, it’s been declining and we think now that by entering to Home Depot, this channel of big box is going to be balanced. I think that this year the expectation is that, we won’t see – we will balance – again, we won’t see more declines. That’s what we expect and hope that will happen in 2020. And yet, John, we have a very strong relationship with the IKEA team and we are working together to improve results in 2020. 
John Baugh : Okay. And then, on the U.S., and you mentioned core being slightly different from the total U.S. and maybe you could define what you are calling for? And then, any feel for what pricing versus volume did in the U.S. for the year, 2019 versus 2018?
Yuval Dagim: First, John, we – the core in the U.S. is all our sales, the part of the sales to IKEA in 2019. So, when we are saying - when we are differentiating between the two it’s just to give the market some perspective on our growth in the core business. What was the other part of the question, John?
John Baugh : Yes. So, what – obviously, we had the Chinese effectively eliminated from the U.S. market with the anti-dumping and countervailing duties and I am sort of curious how that impacted like-for-like pricing for you in 2019 versus volumes? 
Yuval Dagim: I think we mentioned in the past that we look more not internally on – and regarding our growth in the U.S. and I think in 2020, it is another year when we are investing back in our teams and in our brands and expecting to continue our growth, volume-wise, but also pricing. So we are coming with the right - what we think the right pricing strategy to the market. But we are expecting the volume growth as well. 
John Baugh : And we did see there - so, I don’t want to put words in your mouth, but, when we talk about one of the gross margin pressures, when you talked about pricing, so, obviously that’s a challenge in Australia and Canada and other parts where I guess the Chinese are aggressively competing. But even in the U.S., your pricing is relatively aggressive down. 
Yuval Dagim: I think that in the U.S., we see a healthy pricing environment. We expect to see increase in prices in 2020. We see less pressure than we see in other markets. 
John Baugh : Okay. My last question is just around legal. Could you give us an update there in terms of numbers as well as what generally is happening? 
Yuval Dagim: You are saying to the legal expenses that we …
John Baugh : The claims, - yes, the claims, the settlements. How many cases? The stuff that I guess will be updated in the 20-F.
Yuval Dagim: Yes. So, in the quarter, particularly we had a provision – a higher expense due to a legal claim that we had not related to silicosis. It was close to $5 million that we’ve recorded coming. It’s an issue going back to 2007 and it’s been ongoing and there was some development in the claim that the legal proceedings that we have updated the accrual. Other than that, the silicosis, there is no significant change than the runrate that we’ve seen in the past few quarters and we will update in our filing next month with all the data.
John Baugh : Okay. Fair enough. Well, thank you and good luck. 
Yuval Dagim: Thank you, John. 
Operator: Thank you. [Operator Instructions] Thank you. Our next question comes from the line of Asaf Barel Chandali with Oppenheimer. Please proceed with your question. 
Asaf Barel Chandali : Hey guys. So, thanks for taking my question. I am sorry if I missed this earlier. To what extent is the Home Depot kind of opportunity baked into 2020? 
Yuval Dagim: Hi, Asaf. Thanks for the question. Home Depot is a very good development that we are starting the year with. It’s been three years and more that we are trying to penetrate this big box channel. And I think to start 2020 with this change and this development is very encouraging. It’s already baked into our guidance to the market. So, it’s in our numbers. And I think it’s the first year, so we are expecting to continue to grow with Home Depot in the years to come. 
Asaf Barel Chandali : Okay. And maybe just to follow-up on the China virus. I know, maybe it’s more headline and kind of financial reality at this point for you guys. But are you feeling anything on the ground in some of the non-U.S. markets? I assume the production was not mainly in the Wuhan region, but are you feeling anything, any changes that might happen?
Yuval Dagim: I think in the market, it’s a bit too early to feel any different momentum in the market themselves. As for the supply chain, we are seeing some delays in shipments of our OEM volumes from China, which we are fully covered from our own facilities in Israel. 
Asaf Barel Chandali : Okay. Thank you. That helps. That’s all for me. Thank you. 
Yuval Dagim: Thank you, Asaf. 
Operator: Thank you. Ladies and gentlemen, that concludes our question and answer session. I’ll turn the floor back to Mr. Dagim for any final comments. 
Yuval Dagim: Thank you for your attention this morning. We look forward to updating you on our progress next quarter. Thank you. 
Operator: Thank you. This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.